Operator: Ladies and gentlemen, thank for standby, and welcome to the GoodRx Fourth Quarter and Full Year 2021 Earnings Call. As a reminder, today's conference call is being recorded. I would now like to introduce your host for today's call, Whitney Notaro, Vice President of Investor Relations. Ms. Notaro, you may begin.
Whitney Notaro: Thank you, operator. Good afternoon, everyone, and welcome to GoodRx's earnings conference call for the fourth quarter and full year 2021. Joining me today are Doug Hirsch and Trevor Bezdek, our Co-Founders and Co-Chief Executive Officer; and Karsten Voermann, our Chief Financial Officer. Before we begin, I'd like to remind everyone that this call will contain forward-looking statements. All statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements, including statements regarding management's plans, strategies, goals and objectives, our market opportunity, our anticipated financial performance and the expected impact of COVID-19 on our business. These statements are neither promises nor guarantees, but involve known and unknown risks, uncertainties and other important factors. These factors may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Factors discussed in the Risk Factors section of our Annual Report on Form 10-Q for the year ended December 31, 2021, and our other filings with the Securities and Exchange Commission could cause actual results to differ materially from those indicated by the forward-looking statements made on this call. Any such forward-looking statements represent management's estimates as of the date of this call, and we disclaim any obligation to update these statements even if subsequent events cause our views to change. In addition, we may also reference certain non-GAAP metrics, which are reconciled to the nearest GAAP metric in the company's shareholder letter, which can be found on the overview page of our Investor Relations website at investors.goodrx.com. I'd also like to remind everyone that a replay of this call will become available there shortly as well. With that, I'll turn the call over to Doug.
Doug Hirsch: Good afternoon, everyone, and thank you for joining us today. 2021 was another record year for GoodRx. We spent the year working hard to bring lower prescription and care prices to more people while also finding more ways to make GoodRx more helpful at additional points along more health care journeys. I'm proud to say that we made real progress and our impact has never been greater. During the year, millions of Americans use GoodRx to navigate their care. We made significant investments in our brand, substantially raising our unaided awareness. We created and acquired new products in consumer content and resources, while strengthening our relationships with providers and deepening our relationships with pharmacies and others across the health care industry. Our platform has grown as has our reach. We're especially excited about the delivery of our content initiatives around GoodRx Health and health care provider focused platform extensions that help providers help their patients and support our pharma manufacturer solutions offering. We have now helped Americans save more than $35 billion on their prescriptions compared to the pharmacy cash price. This is an incredible milestone as we consider the impact of our business. In 2021 alone, more than five million of our users saved more than $500 compared to the pharmacy cash price, and our NPS increased to 90 among health care providers, equal to our high NPS with consumers. The incredible value we continue to deliver to consumers and providers led to another year of record results in record users, the greater our impact, the stronger our performance. I couldn't be more proud of our team. While millions of Americans continue to be impacted by COVID-19, we developed innovative and impactful ways to help. Early in 2021, when vaccines first became available, we quickly mobilized to build a vaccine guide, helping over 20 million Americans navigate when, where and how to get vaccinated. This year, with the gradual rollout of the new COVID-19 antivirals, we quickly built a consumer-friendly online tracker showing availability at pharmacies nationwide. Many of the visitors to these services had been previously interacted with GoodRx, offering us an exciting opportunity to build a relationship with them. If this year has shown us anything, it's the importance of gratitude. And I could not be more grateful to work day in and day out with a team that is so fiercely dedicated to our mission and hard at work every day to make sure that we have an even greater impact in 2022. With that, I'll turn it over to Trevor to address key highlights from the quarter and our strategic priorities for 2022.
Trevor Bezdek: Thank you, Doug, and thanks to everyone for joining us this afternoon. Before I talk about all of our 2021 achievements, I wanted to take a moment to discuss where we ended the year relative to our expectations and what that means for both our near-term and long-term expectations. When we built our 2021 plan, we expected the second quarter would continue to be impacted by COVID, but the health care activity would pick up in the third quarter as the undiagnosed condition backlog started to clear. These assumptions form the basis of our full year 2021 guidance, which we outlined on the fourth quarter earnings call last year. The reality is that, the effects of COVID have remained longer than we had expected and the resulting impact in our business has been greater than we anticipated. Karsten will discuss the quantification and its implications on our 2022 guidance, but I want to acknowledge that, we underestimated the length of time that COVID would impact our business. Having 24 months of smaller new therapy starts in a business that's highly recurring, due to refill frequency and the long-term nature of prescriptions created a compounding impact over time. Despite COVID lasting far longer than we expected, our full year revenue was still within the guidance range we provided early in the year, and just 1% shy of the midpoint, including the fourth quarter results. We were able to deliver this performance, thanks to our newer fast-growing subscription offering and are even faster growing pharma manufacturer solutions offering. Both of these incredible businesses were nascent just a few quarters ago, and today contribute significantly to our financial results. Despite the headwinds we faced in 2021, we've continued to grow revenue, market share and relationships, all of which set a strong foundation for years of sustainable growth and profitability. We didn't reduce our pace of investment during the slower-than-anticipated growth period, even though this resulted in lower than historical margins. We chose not to slow down our pace of innovation. We are taking a long-term view. Some of these product and marketing investments deliver returns quickly, like GoodRx for Providers, which launched in the fourth quarter and we believe present path to quickly becoming one of the largest provider platforms in the country. We've already seen excitement for this offering in our sales pipeline with pharma manufacturers. Other investments will take longer to be reflected in our financial results, but we believe they will be hugely impactful for consumers and our future revenue. We have generated significant cash flow for many years and have had historical adjusted EBITDA margins of about 40%. Our conscious decision to invest in our platform and our brand over the last few quarters has resulted in record unaided awareness. Most of our teams where we have been focused on investments are now largely in place. We anticipate our operating leverage will scale in the second half of 2022 with margins expanding throughout the year. We are committed to returning to historical adjusted EBITDA margin of 40% plus in the coming years, and we are confident in our ability to do so. Longer term, we expect annual revenue growth rates in the mid-20s. These growth rates, combined with increasing margins over time will position us as a strong Rule of 65 company even as our scale continues to grow. Our plan is to continue to build innovative products and execute strategic M&A to offer more value to the large and increasingly recurring user base that knows and loves GoodRx. We are confident we can deliver more value in the future and do so with high revenue growth rates and expanding margins, creating substantial long-term shareholder value. While we expected 2021 to be an even better year, I remain incredibly proud of our accomplishments. We finished the year strong with another quarter of record revenue, record adjusted EBITDA and record users. We grew revenue 39% year-over-year to a record $213.3 million in the fourth quarter and our adjusted EBITDA to a record $62.3 million. Our positive results were fueled by the strength of our prescription related offerings as well as incredible growth in our pharma manufacturer solutions offering. In the fourth quarter, we reached over 6.4 million monthly active consumers and over 1.6 million subscription members despite the Omicron variant adversely impacting the latter portion of the quarter. We continued extending our reach in the fourth quarter and into the new year, adding new B2B distribution channels to our prescription-related offerings, further aggregating demand. We announced a new integration with Wheel, a digital health care platform that powers virtual primary care and behavioral health services, to make Goodrx prices available to Wheel clients and their millions of patients. We also entered into an agreement with Instacart to provide their shoppers with discounted access to Gold. Our pharma manufacturer solutions offering delivered another quarter of explosive growth, growing 4x year-over-year, capitalizing on the fact that 20% of searches on our platform are four brand drugs. Our fourth quarter net revenue retention was over 150%. We finished the year working with 19 of the top 20 manufacturers and over 140 brands. And we also built a very robust pipeline for 2022, setting a foundation for strong and sustainable growth of this offering. I'm also excited to share that we closed our first pharma deals, specifically targeting HCPs this quarter with two top manufacturers. Our ability to sell these HCP specific deals was supported by the fourth quarter launch of Provider Mode on our new and improved GoodRx for Provider's platform. As we highlighted on our second quarter earnings call, GoodRx for providers is our dedicated provider platform, offering a more customized experience that caters to specific HCP needs and equip providers with the tools they need to support their patients throughout their health care journey. We've been reimagining the way patients and HCPs interact with the health care system. As a scaled platform where both patients and HCPs engage with us at the same stage of the patient's health care journey, we believe there is enormous opportunity for us to meet providers' unique needs with innovative solutions while helping achieve better patient outcomes. Since we started tracking DMD IQVIA data in June 2021, over 700,000 providers have used the GoodRx platform, spanning broadly across specialties from oncology to primary care. We have been introducing our new provider mode gradually to a subset of the providers who visit GoodRx and have seen strong adoption, with over 90% of providers who have been introduced opting into this new mode, which represents over 80,000 HCPs and growing. We believe this high rate of adoption without any off-platform marketing underscores its highly differentiated value from providers and points to its competitive superiority. As part of this launch, we also redesigned our prescription savings flow with the provider in mind, offering more streamlined navigation and focusing on their needs. These changes have significantly increased provider engaging. So far, we've seen providers in the platform sharing discounts with patients at a much higher rate than before, almost twice as frequently based on early results. We've helped our huge provider base, which was already highly engaged become significantly more effective at driving use of our prescription-related offerings. Providers are also turning to GoodRx source for editorial content. While price searches and product savings drive significant provider engagement, we have seen increasing provider interest in our GoodRx Health content. In 2021, we added thousands of new articles and videos, more than tripling the size of the GoodRx Health content library. Providers in the platform are actively searching GoodRx for articles and content reviewed by medical and editorial experts, and we plan to make sharing those resources even more seamless in HCP mode. This engagement further validates our focus on GoodRx Health and lends itself to a more curated content experience for providers in the future. In the first quarter, we added to our provider-specific solutions with the acquisition of flipMD, and essentially pre-revenue marketplace that has achieved significant momentum, connecting practicing physicians with seeking on-demand medical expertise. We believe flipMD has exciting capabilities that will both expand our engagement with health care providers and increase and complement the services available through our pharma manufacturer solutions offering, continuing to differentiate it and expand the offerings lead relative to alternatives. GoodRx for Providers allows us to not only drive growth in our prescription-related offering, but also expand our pharma manufacturer solutions offering by addressing an even greater share of the $30 billion spent annually on pharma marketing. We believe the runway and opportunities to continue to address provider needs are massive. We are actively developing novel and innovative platform features to grow provider engagement, reach and scale and are excited about the opportunity to forge deeper relationships between providers and others like pharma manufacturers in the health care ecosystem. With the combination of GoodRx for Providers and our consumer offerings, we believe GoodRx delivers a truly unparalleled digital health care platform and a unique ability for us and for our partners, especially pharma manufacturers to educate, influence and serve providers and patients in a coordinated fashion. Looking ahead, we're excited to build on our 2021 growth and success to deliver a very strong 2022, reaching more consumers and providers and bringing them more value at each stage of the health care journey. We remain intent on strengthening our brand and broadening our reach, taking our consumer-first focus to the next level and investing in our platform to launch new partnerships, new products and even better services. In 2022, we are focused on four strategic priorities. First, increasing awareness and reach to help more consumers understand how we can help them navigate their health care journey. This is true for both uninsured Americans as well as insured, where we think the opportunity is massively underpenetrated. Second, strengthening our HCP relationships by expanding the HCP value proposition and continuing to make GoodRx a destination for providers. We are focused on meeting their unique needs with innovative solutions while helping them achieve better patient outcomes. Third, deepening our relationship with consumers by offering relevant, timely and actionable services, advice and content that enhance engagement. Fourth, building or acquiring new platform capabilities that create the foundation for additional services and value we can offer consumers, HCPs and pharma manufacturers. We continue to evolve our solutions to benefit our users and further improve our unit economics. This year, we are strategically repositioning Gold, our subscription program to focus on a more specific audience that we believe finds the most value from Gold, members with chronic conditions, multiple recurring prescriptions and other long-term needs. As part of this repositioning, we increased prices for new gold subscribers in January to reflect all the value we've added to the program in 2021 and create a clear differentiation between our offerings. We are almost two years past the time when we integrated Gold into our platform. And with a much larger subscriber base, it was time to evaluate our subscriber behavior and pricing strategy. We found that some subscribers are high utilizers and saving thousands of dollars a year, while only around 100 for their annual subscription. And other subscribers are not using the offering enough and are probably better off using our free prescription transactions offering. Overall, we believe this change benefits our user base. Get users to be offering that makes the most sense for them and that the price increase improves our unit economics as well as the differentiation between our prescription transactions and gold offerings. We believe this more targeted approach will allow us to continue to invest in Gold and its offering and deliver more value to an attractive user segment, resulting in improved retention and LTV. We are excited about the opportunities ahead in 2022 and beyond. And as Karsten will discuss shortly, we are confident in our ability to not only drive growth but also to inflect margins significantly, while the macro environment will have its ups and downs, we are confident in the long-term growth and sustainability of our business model. We continue to see many adjacent categories for GoodRx to enter within the massive $4 trillion US health care market, and we will approach each opportunity with the goal of making health care easier, more transparent and more affordable for Americans. With that, I'll turn it over to Karsten to discuss our financial results and guidance.
Karsten Voermann: Thank you, Trevor. Good afternoon, everyone, and thank you for joining us today. We finished the year strong with another quarter of record revenue, record adjusted EBITDA and record users as we continue to help more Americans get the health care they need at a price they can afford. Revenue for the quarter grew 39% year-over-year to $213.3 million at the lower end of our guidance range. Prescription transactions revenue grew 21% year-over-year to $158.8 million driven by a 14% year-over-year increase in our monthly active consumers, which exceeded $6.4 million for the first time, as well as an increase in prescription transactions revenue per MAC. The fourth quarter was the first period this year where the comparable period included Scriptcycle MACs, which we first reported in the fourth quarter of 2020. Market prescription volumes continued to show a gradual recovery and have largely returned to 2019 levels, though the recovery has been uneven in nature and has not provided us with a high enough increase in new therapy starts to make up for the cumulative impact COVID has had on our business. Also, the growth in total market and new market prescription installed towards the end of the fourth quarter as Omicron impact grew and 2022 started soft with January volumes down month-over-month to the December, January pattern we haven't seen in recent years. Flu season started aggressively and was even outpacing 2019 at some point, but it slowed enough to eventually fall below our expectations. Office and clinic medical claims, which can serve as a good proxy for doctor visits and are key for us from a referral standpoint given our extremely high awareness and referral rates, also slowed down. While the third quarter is almost back to 2019 levels, Q4 was disappointingly lower than 2019 levels by single-digit percentage, which presented an unfortunate headwind that was not anticipated. At this point, most of the COVID effect on our business relates to the cumulative two-year impact of smaller new therapy start cohorts, which is a much longer period than we had expected and affects both new and returning users. We can't make up for these smaller cohorts instantly, even if the market was fully recovered, acute and seasonal trends like cold and flu were fully on pace and the availability and effectiveness of the amazing referral engine we've built through physicians and pharmacists had fully rebounded. Subscription revenue grew rapidly, up 79% year-over-year to $17.4 million. We finished the quarter with over 1.2 million subscription plans and over $1.6 million members benefiting from our subscription offerings since our family subscriptions generally serve multiple consumers. Other revenue grew a phenomenal 196% year-over-year to $37.1 million, primarily driven by growth in pharma manufacturer solutions, which makes up a significant majority of other revenue as well as growth in telehealth. The growth reflected the incredible momentum of our pharma manufacturer solutions offering and as mentioned on our prior earnings call, the impact of some end-of-year incremental budget allocations that are seasonal in nature. We will discuss the mix shift catalyzed by pharma manufacturer solutions and subscriptions and the positive impact mix shift has on longer-term margins in a moment. Moving down the P&L. Cost of revenue was $13.9 million or 6.5% of revenue compared to $9.2 million and 6.0% of revenue in 4Q 2020. The increase was driven by higher outsourced and in-house personnel related to consumer support expense to support our growth as well as changes in our revenue mix. Product development and technology expenses were $35.1 million compared to $23.7 million in the comparable period last year. This increase was primarily due to continued investments in the team and product as well as an increase in stock-based compensation expense, including awards made in connection with and after our IPO. Excluding stock-based compensation expense and related tax and other items associated with acquisitions, adjusted product development and technology expense was 12.0% of revenue compared to 11.2% of revenue in 4Q 2020. Sales and marketing expenses were $106.5 million compared to $74.9 million in 4Q 2020. We increased advertising spend by $22.1 million year-over-year and continued to invest in our incredible team with the goal of increasing our consumer and manufacturer base in building the GoodRx brand. With respect to our brand, unaided awareness increased materially Q-over-Q and also Y-over-Y, setting another record for us, which we believe will yield positive returns for us long term. Adjusted sales and marketing expense as a percent of revenue grew year-over-year, making up 47.4% of our revenue in 4Q 2021 compared to 46.8% last year. General and administrative expenses were $35.4 million compared to $340.8 million in the fourth quarter of 2020. The decrease was due primarily to stock-based compensation expense relating to the non-recurring Co-CEO awards made in connection with the IPO, which including related payroll taxes was approximately $268.2 million higher in the comparable period last year. The decrease was also due to last year's $41.7 million of non-recurring non-cash charges related to charitable stock donation in support of GoodRx helps. Excluding these and other adjustments, adjusted G&A as a percent of revenue is 5.4% compared to 4.1% in 4Q 2020. Net loss was $39.9 million compared to a net loss of $298.3 million in the fourth quarter of last year. Our net loss was impacted by $45.8 million of tax expense due primarily to a $52.4 million valuation allowance, which I'll discuss in greater detail in a moment, as well as stock-based compensation expense of $33.3 million, $16.8 million of which related to the nonrecurring Co-CEO awards made at the time of our IPO. The year-over-year change was driven by a $263.2 million decrease in stock-based compensation expense and related payroll taxes, primarily relating to the nonrecurring Co-CEO awards made in connection with the IPO. This was partially offset by an increase to our tax provision, which was a $45.8 million expense in the fourth quarter of 2021, compared to a $7.4 million benefit in the comparable period last year. Adjusted net income grew 26% year-over-year to $40.5 million. Adjusted EBITDA grew 27% year-over-year to a record $62.3 million. Adjusted EBITDA margin continued to be strong at 29.2%, reflecting our ability to deliver profitable growth due to compelling unit economics of our business and high repeat activity on our platform. We continue to generate strong cash flow with net cash from operating activities of $49.8 million for the quarter. Going back to the tax valuation, in the fourth quarter, we recorded a $52.4 million valuation allowance. This non-cash charge was driven primarily by significant excess tax benefits realized after our initial public offering, which put us in a cumulative three-year pre-tax loss adjusted for permanent adjustments as of this quarter. Given that we still have a significant number of outstanding options that were granted before our initial public offering at fairly low exercise prices, we expect those excess tax benefits to continue to accumulate. And so because the relevant guidance weighs factors such as historical cumulative losses, much more heavily than future profitability, it required that we put the allowance in place in the fourth quarter. As the number of options remaining as definite and as we do have a strong record of tax profitability absent the excess stock benefits, we may be able to reverse all/or a portion of a valuation allowance in one or more future periods. As we discussed in the past, we anticipate unpredictability in our future tax provision or benefit amounts due to multiple factors, including the one I just described, the exercise of stock options. This element, among others, is challenging to forecast, as it is generally driven by factors outside of our control, such as the stock trading price and the related decision of employees deciding whether and what to do with their equity awards. This is one of the reasons we believe presenting adjusted net income and adjusted tax provides a useful perspective. Looking at the year as a whole, we're proud to have delivered 35% year-over-year revenue growth at an attractive 30.8% adjusted EBITDA margin. We believe very few companies of our scale are able to grow at rates this high and be as profitable as we are on an adjusted EBITDA basis. We believe losing 24 months of normal new therapy cohorts, which impacts both new and returning GoodRx users, has been detrimental to our recurring revenue base. We estimate the impact of depressed new therapy starts led to cumulative revenue reduction of approximately $70 million to $140 million plus over the period since COVID began, weighted significantly towards 2021 based on our internal analysis. While we previously discussed the COVID diagnosis gap, and how it could catalyze incremental script volume, that does not appear to have happened. And even as new therapy starts return to normal, we expect the gap to impact us in the future. We anticipate the impact of COVID on our revenue and our growth rate may decrease over time as increased new therapy starts begin to fill the gap that was created over the last two years. We are confident in our strategy and believe that leadership position we have achieved in our prescription transactions and subscription offerings as well as the strength manifested by the high growth of our pharma manufacturer solutions and other offerings, will allow us to continue to deliver strong growth well into the future. We are committed to creating long-term sustainable value for our shareholders. In addition to making investments to increase our brand awareness and reach, strengthen our HCP relationships, deepen our relationships with consumers and build or acquire new platform capabilities, among others, we recently announced the authorization by our Board of Directors to repurchase up to $250 million worth of common stock, which will limit dilution associated with employee equity. We expect to fund the repurchases with our existing cash and cash equivalents, working capital, cash flow from operations or funds available through various borrowing arrangements. Moving on to guidance. For the first quarter of 2022, we expect revenue of approximately $200 million, reflecting 25% year-over-year growth, driven by our pharma manufacturer solutions offering or other revenue. We expect other revenue to grow 70% to 90% year-over-year, followed by subscription revenue growth of 45% to 55% and Prescription transactions revenue growth of 16% to 18%. I should note that, our success in closing large deals in our pharma manufacturer solutions offering can lead to fluctuations in the growth of other revenue and therefore, our overall growth rates. This is especially true when transitioning between calendar years. Our revenue guidance reflects a quarter-over-quarter decline compared to our fourth quarter revenue of $213.3 million. While we expect quarter-over-quarter growth in our prescription transactions, subscriptions and telehealth offerings, our pharma manufacturer solutions offering is expected to decline quarter-over-quarter between the fourth and first quarters. The fourth quarter is seasonally strong due to year-end spend increases and end of the year budget that pharma manufacturers choose to allocate to GoodRx and recognition of our ability to quickly deploy their marketing investment dollars effectively. However, not all of fourth quarter's revenue is expected to be recurring in the same magnitude in the first quarter. Our spend will decrease, we anticipate we will continue to serve the manufacturers and brands we work with in the prior quarter based on the extraordinary ROIs we deliver for them. As such, we expect a quarter-over-quarter decline followed by sequential growth in each of the following quarters in 2022. On the adjusted EBITDA front, we expect an adjusted EBITDA margin of approximately 28% to 30% for the first quarter, similar to our margin in the fourth quarter. For the full year, we expect revenue to grow about 23%, slightly below our guidance for the first quarter as we lapped two small acquisitions we made in the second quarter of 2021, and lap a first half of 2021 that was more heavily affected by COVID, creating slightly higher year-over-year comps since 2022 progresses. We expect adjusted EBITDA margin to expand sequentially through the year with full year adjusted EBITDA margin lending between 31% and 33% and a fourth quarter margin in excess of 33%. This margin dynamic is related both to our expected revenue growth, the higher margin flow-through from our rapidly growing pharma manufacturer solutions offering and some upfront marketing investments that we are making in the first quarter to maximize in-year return. As we look ahead to our multiyear outlook, we're highly confident in our ability to grow revenue at rates in the mid-20% range in the next few years without any inflections in the current macroeconomic or COVID environment. We expect pharma manufacturer solutions to continue to grow rapidly and become a larger contributor to our revenue. We’re rapidly increasing our share of the $30 billion pharma manufacturer solutions TAM, which we believe will continue to grow as more and more pharma spend shifts to digital. Even with this offering three times year-over-year growth in 2021 and 150% plus net revenue retention, we're still not even penetrated anywhere close to 1%, and our relationships with 19 of the top 20 pharma manufacturers put us in a great position to continue to rapidly grow. Another driver of this longer term revenue growth is our ability to replenish some of the smaller cohorts from the last 24 months with larger wins as we become further removed from the impact of COVID over time. Our penetration into the huge prescription TAM remains low, and we continue to increase our share of this market consistently, giving us confidence in the business. We're equally confident in our ability to expand our adjusted EBITDA margins back up to the 40%-plus levels we've delivered in past years due to changes in revenue mix as well as our largely fixed cost structure and operating leverage. As I previously discussed, we expect a continued shift in revenue mix with an ever greater proportion of revenue coming from our very high and margin expanding pharma manufacturer solutions offering. This mix shift has been consistent for several quarters. Two years ago, approximately 90% of revenue was associated with our prescription transactions offering, whereas, it's now less than 80%, as 74% of total revenue in the fourth quarter. That means our high margin nonprescription transactions revenue percentage has grown by about 2.5 times since the IPO. And the percentage has almost doubled in the last year alone. In addition to changes in our revenue mix, once the full year impact of our 2021 marketing, product and technology investments are fully reflected in our 2022 cost structure, we will start exhibiting more OpEx leverage in subsequent periods. This reflects the relatively fixed cost structure across much of our business, including our G&A and increasingly, our product development and technology functions. This operating leverage from our increased scale will start showing results later this year as it drives our expected higher adjusted EBITDA margin exit rate in 2022. In addition to our cost structure, each year of the proportion of our transactions that are recurring, that is zero CAC and nearly pure margin continues to grow. We're committed to translating our recurring transaction base and increasingly fixed cost structure into incremental adjusted EBITDA margin, bringing it to the 40%-plus range over the coming years. Between our anticipated growth rates increasing to the mid-20% range and contemplating margin accretion, as I discussed, we believe we'll move from being a Rule of 55 to a Rule of 65 growth plus margin company in the years to come. Finally, given the successful repricing initiatives we've initiated in our Gold subscription offering, and I'd like to give some of our high level expectations for the offering. As Trevor said, we are strategically repositioning Gold as we tightened our focus on members with chronic conditions who we believe can benefit the most from Gold. In addition to offering Gold members even better prices prescriptions than our prescription transactions offering, we've added more value to this program over the past year with new benefits, including mail order and discounted telehealth visits. To support the repositioning of gold and to align our pricing with the incremental value we offer, we increased pricing for our new subscription members to $9.99 per month for individuals and $19.99 a month for families. This is the first price change to gold, since we introduced the program five years ago. Prices were increased for new members only starting January 10, and initial tests are encouraging. If tests continue to show positive results, we plan to increase prices for existing gold subscribers as well in a phased approach by the end of the second quarter. We're expecting this change to us whole in relatively flat subscriber plan growth this year as the number of new subscribers will decrease with this more focused approach and because we expect a onetime churn impact when we raise prices to our existing subscriber base later this year, most likely in the second quarter. We believe that for the subset of folks, who may shift off subscriptions, we will pick them up and monetize them as prescription transactions max instead. To help with modeling, we're providing a onetime Gold update. We finished the year with approximately 774,000 Gold subscriptions and a 77% to 23% individual-to-family mix, delivering fourth quarter Gold revenue of $13.8 million. More broadly, we continue to evaluate our subscription offering strategy going forward with much like everything we do, a consumer-first approach. GoodRx is committed to building a leading consumer-focused digital health care platform in the US, and we plan to continue investing our strong cash flows in our platform, product, user experience and our brand with the goal of creating a best consumer experience and improve health care affordability and access for all Americans. We're equally committed to driving shareholder value through aggressively driving margin growth and leveraging our cash to undertake the share repurchases that will limit dilution associated with employee equity. Thank you for your continued confidence in GoodRx. We look forward to sharing our progress in the quarters to come. And with that, I'll now turn the call over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jailendra Singh with Credit Suisse. Please go ahead.
Jailendra Singh: Thank you, and thanks for taking my question. Thanks for the growth breakdown you expect for first quarter. I was wondering, if you can provide a similar breakdown across the three business lines between PTR, subscription and other for full year based on certain assumptions around other revenue and assuming you get revenue benefit from Gold price increase, it seems you're not assuming much growth in your PTR business. Help us understand that a little bit more? And are you not assuming much recovery from the trends you saw in January. Also, how about all the partnerships you guys signed in 2021 and the launch of GoodRx providers platform. Just trying to understand, why not much benefit is coming out there. Sorry for lengthy question, but trying to better understand your PTR business expectations in 2022 and MAC growth expectations as well for this year?
Trevor Bezdek: Thank you very much, Jailendra, for the question. I think it will be helpful to answer that to frame 2021, a little bit. And so I'll start with that, and then I'll hand it over to Karsten. When we built our 2021 plan, we expected Q2 would continue to be impacted by COVID, but the health care activity would pick up in Q3 as the undiagnosed condition backlog started to clear. And these assumptions form the basis of our full year 2021 guidance, which we outlined on our Q4 earnings call last year. As I mentioned earlier, the effects of COVID have remained longer than we expected, causing its impact to be greater than we expected. There's been volatility in total prescriptions, new prescriptions, doctor visits, and even long lines for consumers to fill scripts due to vaccine administration; all had some impact on our business. As Karsten said in our earlier remarks, we believe that COVID cost us $70 million to $140 plus million in revenue since the pandemic began through the end of 2021. And despite all of this, we grew revenue 39% in the fourth quarter and came within our guidance and we grew full year revenue 35% and we're just 1% shy of the midpoint of the guidance range we provided early last year. We achieved this full year revenue growth by the fast growth of our subscriptions offering and our even faster growing pharma manufacturer solutions offering. Even with COVID, we've reached record users in our prescriptions offering and increased market share, all of which set a strong foundation for years of sustainable growth and profitability. We have a strong track record of significant cash flow generation. We've historically been at least a Rule of 65 company, and we're confident we'll return to this unique combination of growth and profitability in the years to come. And so I’ll let Karsten comment more specifically about the other parts of your question.
Karsten Voermann: Yeah. Thanks for the question, Jailendra, and good to speak to you again. So for the -- I think you're reflecting mostly in the full year, and we expect full year revenue to grow about 23%, we're slightly below our guidance for the first quarter as we lap two small acquisitions we made in the second quarter of 2021. And also as we lapped the first half of 2021 because that first half was more heavily affected by COVID and that creates a little bit higher year-over-year comps as 2022 progresses. Of the lines of business in terms of relative growth rates, we expect our manufacturer solutions offering to continue to grow very rapidly, both on the consumer front and also on the provider side with GoodRx Provider to that part of your question. We expect it to almost double this year. You got to remember that our brand penetration of top 20 manufacturers is mid-single digit, but we have relationships with 19 of those top 20, and we can significantly grow the number of solutions each brand buys, which is today at about three of and it continues to grow as time passes. We expect that subscriptions will continue to grow nicely in 2022 as well with Gold leading the way after the strategic reposition we discussed a little earlier on the call. And finally, on our PTR prescription transactions business, we continue to anticipate that we're going to increase market share there and grow our rates similar to our first quarter guidance for that part of the business. We also expect to increase our adjusted EBITDA margins this year and exit year with margins exceeding 33%. Hopefully, that's helpful.
Jailendra Singh: Yeah. I mean, are you willing to give like MAC growth expectations for the year, in particular?
Karsten Voermann: Yeah, I don't think we're doing a MAC number right now. But given that revenue per MAC has remained relatively consistent over time, I think the PTR revenue gets you pretty close to, Jailendra.
Jailendra Singh: Just one quick follow-up here. Nothing is impacting your business in terms of your contracts with PBMs, or just trying to understand that if there's any update on take rate you guys can share? Thank you.
Trevor Bezdek: Yeah. Thank you for that follow-up. Our relationships with PBMs remain great. We continue to add PBMs. We haven't -- our relationships with retailers are very good. We haven't seen any significant changes or developments in terms of the competitive landscape that's had a material impact on financial results. We feel good about the situation. Thank you very much.
Operator: Thank you. Your next question comes from the line of Eric Sheridan with Goldman Sachs. Please go ahead.
Eric Sheridan: Thanks so much for taking the questions. Maybe I could zoom out and ask a bigger picture question. When you look at the investment landscape you're laying out for 2022, what do you guys see as the two or three investments that you have to make against your longer-term goals irrespective of the rate of recovery or the rate of -- and space you see in the revenue environment in 2022? And then the second part of the question would be, can we maybe put just a final point on your confidence interval and the size and opportunity as some of those investments morph into revenue and you return against sort of the rule of framework that you gave in your prepared remarks? Thanks so much.
Karsten Voermann: Yeah. I really appreciate the questions. And I think there are two ways to look at it. When we think about the business broadly speaking, and in response to the latter part of your question and the rule of outlook that we have, one of the reasons we believe that we can continue to throw off EBITDA more similar to historical levels in the 40-plus range and once again returned to the Rule of 65 level that we've been performing at. Historically, is that we're confident in it both in our ability to grow revenue, but also in our ability to grow margin. And on the investment side, I think that has two pieces to it. One piece of it is that, a significant number of our investments are already made. So when we look at our business, broadly speaking, we see our overall cost structure becoming incrementally more and more fixed. And there are a couple of different dimensions to why that is. The first piece of that dimension is that, our ability to continue to leverage the work we've done today as we've built out our product and technology teams is great, being able to leverage the SG&A side of our business is also great. But what folks don't always realize is that on the marketing front, too, we're – they're too able to increase our leverage because the proportion of our business that's recurring gets bigger and bigger each week, month, year, et cetera. And so the benefit of having that recurring business, which, of course, has no CAC associated with it, it's just a great thing. So when we look at investments, we think those investments generally have significantly delayed in large parts of our business today. I think the other element to think about this through is that, when we look forward, the investments we're continuing to make are investments and things that open up even more of the massive, massive TAM we have ahead of us for a benefit. So some examples of that are things like our Connect next acquisition that we made last year, which allows us to be operating at the intersection of insured and cash pay, which are great in terms of demand aggregation and other similar investments as well. So we're extremely excited about those elements as well as our investments in the GoodRx Provider platform that allowed us to be able to pick up over the last several months a significant number of providers at 90% of the provider is exposed to the offering, opting in and using it. So we're just very, very excited about all these dimensions.
Doug Hirsch: Hey, this is Doug Hirsch. I wanted to just jump in as well and just let you know. We are incredibly excited here about some of the momentum that we have on the product side and some of the incredible stuff that we've been coming out with recently. Obviously, the nuts and bolts of access generic drugs, we've had tremendous success in manufacturer solutions, and I'm really excited about some of the new products that are coming along that are far more interesting and more engaging, not just for consumers, but also for providers as well. And I really want to hammer home that this relationship that GoodRx has with providers is so special and something that we plan to continue to invest in and you'll see lots of incredible new products and ways that we can ultimately really help providers connect with patients, because obviously, they're an incredible influence in the decision-making process for any patient across multiple journeys. And last thing, I encourage you to keep your eyes on our product development because they're just really, really incredible innovations that we're putting out in our products, and they're starting to come to fruition now. And I really hope -- I'm very, very excited about the course of next year because some of the stuff that we worked on for quite some time is just starting to make its way out to the world. And I think it's going to be really impactful, not just in the world of prescriptions, but as we look broader at the entire $4 trillion TAM of all of medicine. I'm just very, very motivated from a product perspective as some of the really engaging stuff that we're doing, again, for both consumers and for providers.
Eric Sheridan: Thanks for the color guys.
Trevor Bezdek: Thank you.
Operator: Thank you. Your next question comes from the line of Stephanie Davis with SVB Leerink. Please go ahead.
Stephanie Davis: Hey guys, thank you for taking my question. I'll start with one for Karsten. Given the high incremental margin nature of the manufacturer solutions revenue, how should we think about the relatively muted 2022 EBITDA margin guidance? Is this more of a muted expectation just because you don't really have as much clarity on it as you talk about your nonrecurring nature in your prepared remarks, or are there any post-COVID decel that we should be thinking of?
Karsten Voermann: Hey, Stephanie, thanks for the great question. Yeah, I think one of the reasons we're looking at margins and the way we are ties to the last question that we responded to a little bit, too, we made pretty significant investments last year and ramped up our employee base quite aggressively between the end of 2020 and the end of 2021. And so a portion of that investment carries over into 2022. And so far as you have a partial year in 2021 of hires in the light and you obviously get the full year in 2022. So I think that factor is when that is material to this discussion. And one of the reasons we're so confident that we don't need to continue to increase cost structure that we feel like we've built those teams. They are leverageable, which means that we feel like we can do a lot more revenue scale of the size of the business. And that's when -- that ties together both the 2022 margin anticipation and also the longer term margin accretion from there as well. So hopefully, that's helpful.
Stephanie Davis: Super helpful. And as we think about your shopping list, which you mentioned a little bit in the prior answer, for 2022, is it safe to assume that's going to be more of the pre-revenue type companies where you're acquiring more of a product, or could we think of something a bit more of scale as it looks like you're giving your priorities a bit?
Trevor Bezdek: Thank you for that follow-up. We are looking -- and we've had this history of successful smaller M&A transactions that have added capabilities, added new services we can deliver. We are -- we just spoke about the flipMD acquisition. However, we're looking at a variety of different scales for transactions if that make sense.
Karsten Voermann: Yeah, I can jump in a little on that one, too. I think we continue to think M&A can will play an important role. And we've looked at them and done deals historically around capabilities and then integrate them successfully to bring them to bear when we look at things like Scriptcycle or HealthiNation, which was a big component of the growth in manufacturer solutions as well. We think we see a lot of opportunities in digital health care. And I think going forward, we believe we're a very attractive platform for high-growth companies to be able to scale them based on the massive size of our existing base. It's not just the 8 million folks who use us in the prescriptions business, meaning the MACs and the subscribers. When we think about it, it's really more like the almost 20 million visitors we get and the huge number of health care providers, too, and those health care providers are incredibly attractive to accelerate some of the potential acquisition targets we see out there, given the number of them that we serve. I think that the most recent stats I've been looking at that approximately 0.5 million health care providers have visited the GoodRx platforms over the last 90 days or so. And that's just a huge number and a very challenging number for anybody else here to let alone some of the smaller targets we've been picking up.
Operator: Thank you. Your next question comes from the line of John Ransom with Raymond James. Please go ahead.
John Ransom: Hey. Good afternoon. Can we get a little more precise reading on when you think the growth in revenue might outpace the growth in marketing spend?
Trevor Bezdek: Sure. First, the question of Karsten, speak to this.
Karsten Voermann: Yeah. Sure, John. Yes, it's a really good question. I think the way we're looking at it in general is that, we see continued potential for efficiency in marketing. When we're talking in response to the question that came in a little earlier, one of the things I said is that as the recurring user base gets bigger and bigger and bigger, we continue to believe that we'll be able to drive more efficiency in marketing, too. And as we think about even this coming year that we're entering, we believe we'll begin to see some of the fruits of that in this – in ending 2022.
Trevor Bezdek: What I would also like to add is, we've seen from a marketing standpoint where other D2C players, both in tech and in B2C health care have seen rising costs. And we've been able to keep our payback under eight months in marketing. We really have a lot of control and discretionary purposefully decided to invest, to build brand, hit record levels of unaided awareness. And we think these are all great choices on this discretionary spend we ask since, there's so much TAM left and we're investing for the long term and trying to capture all these opportunities that are out there.
Operator: Thank you. Your next question comes from the line of Ricky Goldwasser with Morgan Stanley. Please go ahead.
Ricky Goldwasser: Yeah. Hi. Good evening. So a couple of questions here. First of all, as we think about the Provider business, should we ultimately think about it as direct contributor to the other revenue line, or should we think about it as a feeder to pharma services into prescription revenues? And then secondly, you provided your updated long-term revenue targets, I think in mid-20s. Can you walk us just through the breakdown of how do you think longer term on the growth contribution of each of the different businesses, prescription versus pharma services in subscription?
Trevor Bezdek: Thank you so much. I'm going to speak to the first part of your question, and then I'm going to hand it over to Karsten to answer the second part of your question. For GoodRx providers, we see this as an enormous opportunity. We – in the last seven months, we've had over 700,000 prescribers visit GoodRx. And with the combination of good or expert providers and our consumer offerings, we believe we deliver a truly unparalleled digital health care platform with unique ability for us and for our partners, especially pharma manufacturers to educate influence and serve providers and patients in a coordinated fashion. On our second quarter earnings call, we talked about GoodRx Providers and that a significant portion of GoodRx website visitors or HCPs. In the fourth quarter, we launched this new and improved GoodRx Providers platform through the recently launched Provider mode on our app, and the results so far have been quite incredible. We've seen a high rate of adoption with over 90% of providers who have been introduced opting into this mode. And as Karsten mentioned, with almost 500,000 providers visiting in the last 90 days, we believe we are one of the largest, if not the largest provider and patient platform. And we believe these exciting new provider focused tools and this increased reach with this audience extend that consumer reach and breadth position us really uniquely well. So with the new mode, we're focused on two things, just -- which are both of the items you've raised. One, driving further growth in our prescription related offerings by adding solutions that are designed specifically for providers an example there is we redesigned the prescription savings flow with the provider in mind. And this has already doubled the number of physician and consumer referrals from the base providers that opted in; and then second, we are creating providers to the solutions to drive more value to them and to continue to grow the HCP part of the pharma manufacturer solutions offering. We sold our first HCP-specific deals in Q4. And in the future, we see opportunities to offer many HCP-specific solutions like personalized content, newsletters, close to prescribing and workflow tools to deliver value to providers. And so we're extremely excited about this part of the platform and the massive opportunities with providers. And so I'll let Karsten speak to your second question around revenue.
Karsten Voermann: Hey, Ricky, this is Karsten. Thanks for the great question. As we look towards our multiyear outlook, we're highly confident in our ability to grow revenue at a rate in the mid-20% range. We plan on doing that without any inflections in the current macro environment or in the COVID environment either just as we said for the guidance for this year. Much of the growth to your point of how mix works, which represents an acceleration from the growth rates in 2022 and the 2022 guidance. We expect to come from our rapidly growing pharma manufacturer solutions offering. Even though that offering is getting quite a bit bigger, the acceleration that we're already beginning to see in connection with our HCP specific revenue will be an accelerant in 2023 and beyond. Most sales typically occur in the fourth quarter of the year prior. So towards the end of this year, we'll expect to see that revenue grow quite aggressively for future years. On the prescriptions offering, we think we're going to continue to grow market share, as we always have, both absolutely and relative. Our TAM is huge there, and our marketing metrics like Trevor was saying in response to a question earlier, continue to be positive, i.e., consistent CAC even in the face of growing spend. So that supports a lot of room for incremental growth. We also believe the demand aggregation opportunities that I talked about a little bit, things like RxNXT are going to help us in this dimension, too. Gold benefits well lately -- we'll continue to invest in. And so that offering too, we'll see further acceleration in 2023 and beyond. We're really confident about the strength of the business from the revenue side in the coming years and also from the perspective of margin accretion, like we're talking about on the earlier question, given the over time, incrementally more fixed cost structure nature of the business.
Operator: Thank you. Your next question comes from the line of Stephen Valiquette with Barclays. Please go ahead.
Stephen Valiquette: Thanks. Good afternoon, everyone. So I guess with the COVID disruption to the business in the fourth quarter coming from a combination of the COVID case spike that occurred late in the quarter, but also the cumulative effective cover that you alluded to. I guess, I just want to make sure that I understand the messaging going into this year around, how tightly your growth will still inversely ebb and flow month-by-month with COVID case counts? You mentioned that January was still somewhat weak, which makes sense given the elevated case count we saw in January. But as far as February, is there any evidence that trends were improving in February, or is this cumulative effect you're alluding to still causing disruption in February? Just curious around how that correlation is still flowing? The acute versus cumulative effect of COVID this year Thanks.
Trevor Bezdek: Thank you very much for your question. I'll let Karsten speak to this
Karsten Voermann: He, Steve, it's Karsten. Yes, it's a great question. I think our perspective is that, there will continue to be some and even this. And two specific points of will the effect on the cohorts continue to exist. I think there are a couple of dimensions that. On the historical cohorts that are smaller than they would otherwise have been, we'll continue to carry those forward. So those are folks who filled less and say, April of 2020 or April 2021 matters still. Though none of us expected it to last that long. And both those initial sales and then the subsequent refill rates of those cohorts will be lower, by right of them just being smaller. As we sort of fast-forward that to today, as we thought about the guide, we thought we would anticipate that there are no real changes to the macro environment from what we've seen over the last quarter or so December, January, February, And I think that has been, to your point, a bit uneven. But the point here is that given the importance of the health care provider referral channel to us, which is significant, and given what we're seeing in the marketplace generally in terms of health care utilization, we don't think we're fully back yet, but we also wanted to guide in a manner that's consistent with that reality.
Operator: Thank you. Your next question comes from the line of Doug Anmuth with JPMorgan. Please go ahead.
Doug Anmuth: Thanks for taking the question. Just related to the last topic. Just thinking about the $70 million to $140 million that you mentioned since the beginning of COVID through 2021. What kind of impact would you expect on a similar basis in 2022? I guess, it's kind of a similar question. Just trying to understand like, how long of a tail or a lag you could have going forward? I mean even if you get into 2023, for example, do you still have some degree of drag from like 2021 timing on those two-year cohorts? And I don't know, if you said it or not, but I mean, we've seen a lot of companies that clearly had Omicron drag in December and January, but it got better into February. Are you seeing that as well?
Karsten Voermann: Yeah. So going in reverse order, I think there was some Omicron drag in December, and there's also some cold flu drag, frankly, because I think both of those things came a little differently than we expected. On cold and flu began pretty aggressively and was outpacing 2019 at some point, but then it slowed down kind of fell below at least our expectations. I think more broadly in terms of market data, we saw momentum slow in the fourth quarter a little bit. We saw total prescriptions, new prescriptions be higher at the beginning of the fourth quarter, but then slow down towards the end of the year. Same thing roughly at medical plans, which are a good proxy for doctor visits and a key referral channel we have. I think we saw third quarter pretty much back close to 2019 levels and then fourth quarter dropped down a little bit again. So from that perspective, fourth quarter did come in lighter than we would have hoped and than we contemplated in our guide. I think more broadly on the cohort related question as well, I think when we look at that, the smaller cohorts that came in, in 2020 and then in 2021, they'll be sticking around for a while. Our retention continues to be great, hence, our recurring transaction rate of well-over 80%. So from that perspective, those cohorts will be sticking around for quite some time. They are smaller than historical cohorts have been, which means -- it means that even if things return back to normal, we will have a few cohorts that have less recurring revenue from chronic prescription streams than they might otherwise have. And we contemplated all of that in the establishing of the long-term guidance range that will be a couple of percentage points higher than the 2022 revenue growth, we believe, as some of those effects are mitigated and diminished over time.
Operator: Thank you. Your next question is from the line of Scott Schoenhaus with Stephens. Please go ahead.
Scott Schoenhaus: Hi, team. Thanks for all the color and the prepared comments, the guidance and long-term objectives. Just wanted to dig into your provider network, which is clearly a focus. Last count, I believe there was over 25% of your total platform, users being providers. So my first question is where are we currently? What do you target in your fiscal year 2022 guidance and then longer term objectives? And then a follow-up question relates to this. Is your ability to reprice your contracts, you mentioned that with the Gold subscribers, but I really want to focus on the pharma clients. As your provider network grows, this should make you more attractive and valuable and given that 85% of those clients start to fix fee contracts, what should we expect both from a revenue per pharma client expansion and margin expansion as this is already running at high margins, though in this segment? Thank you.
Trevor Bezdek: Sure. So for GoodRx Providers, maybe just to start, we -- I don't think we -- we don't think of a particular mix that we're trying to achieve on providers versus consumers. We're just trying to provide great solutions that are super high value to both the prescribers and providers as well as consumers. And that's what we've achieved. We were happy that NPS scores for providers are now up to 90%, which matches the extremely high NPS numbers we have of 90 for consumers. And that audience of over almost 500,000 prescribers visiting and using our tools in the last three months, we think really makes it an incredibly large platform. So on the provider side, we have -- we think that's a great success. And so I'll let Karsten speak about the ability to control pricing and such on the pharma side and the rest of your question.
Karsten Voermann: Hey, Scott. Yeah, no, great question. We really appreciate it. And I think on this dimension, we're continuing to be incredibly excited about the progress we're making on manufactured solutions. We feel like we have a great pipeline heading into the New Year. And like I said in the call, we think it should almost double with growth driven both from further penetration of the existing solutions, selling into a pharma into the HCP provider solution now as well, and also being able to drive other dimensions, like, for example, having more solutions per manufacturer and for medication and more medications for manufacturer as well. I think what's really changed a lot for us is that with the focus on the provider mode and with the incredible adoption we've seen of it, again, like 90% of providers who get exposed to provider mode opt into it, which we think is amazing. And we've had over 0.5 million provider's visits in the last 90 days, which we think is also amazing. We think those things create an inflection point for us that we haven’t had before. So historically we’ve been able to tackle this TAM pretty aggressively, but the TAM split between pharma spend on manufacturers and on patients. We're historically more focused on the patient side, but now we can hit both prongs. And that actually has synergistic effects between the two prongs because it's very challenging for a manufacturer to find any other platform out there, any other platform period that can target both the consumer side and the provider side in a coordinated fashion. So we think we're really uniquely positioned to do that well, and that's one of the reasons we're so bullish on the growth here. And we love the fact that as it grows, it shifts revenue mix towards this higher margin offering and ends up dragging margin up, too.
Operator: And that concludes our question-and-answer session for today. I will now turn the call over back to Mr. Trevor Bezdek for closing remarks.
Trevor Bezdek: 2021 was another amazing year for GoodRx. We help more Americans than ever access affordable health care when they needed it most. We delivered record revenue at attractive margins, while growing our consumer and provider base, increasing our market share and deepening the relationships that set the foundation for years of sustainable growth and profitability. I couldn't be more proud of our strong results and the continued progress we are making towards our goal of filling more gaps in health care. Although, we've made a lot of progress over the last year, we believe we are just getting started. We see tremendous opportunity ahead to continue to revolutionize health care for Americans in this massive $4 trillion market. We see many exciting opportunities to expand our platform and range of services over time and believe we are well positioned for 2022 and beyond. Thank you for your continued interest in GoodRx. We look forward to sharing our progress in the quarters to come.
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.